Ann-Sofie Nordh: Good morning and welcome to the presentation of Sandvik's First Quarter Results. As per usual, we will run through the presentation, which will be followed by a time for questions and answers. And I would just already now like to highlight that you can put through questions via online and also through the conference call later on. With that said, we'll start off the presentation with our CEO, Bjorn Rosengren; and CFO, Tomas Eliasson. Please go ahead.
Bjorn Rosengren: Thank you, Ann-Sofie, and also welcome, I'd like to say to everybody, to this first quarter report. I'd also like to take this opportunity to wish you a happy Easter. Today's a very special day for Sandvik. It is what we call an insert Thursday, which is a direct translation of what we say in Swedish [Foreign Language]. Let’s dig into the report. First, I'd like to say that we are very pleased and happy to see that demand from all three of our businesses continues on a high level. We reached growth, what we say a price/volume of 6% for Sandvik. This actually gives a book-to-bill ratio of 111%. And we are also glad to see some good large orders from – in SMT from the oil and gas industry. The earnings improved and we had a margin of 18.3%. As you know, we have a philosophy of, say, stability, profitability and then growth. We are in the growth mode. And when we talk about growth, we talk about organic growth, but we also talk about acquisitions. And last year, we managed to do five acquisitions. And this year, we have already now reported four of them, two of them a little bit extra exciting from my point of view. One is the Artisan, which is the Teslas of the underground mining business, electric loaders and truck. So that's in the business. But we also, yesterday, announced Newtrax, which is a company supporting our automation business and make it possible for us to make our automation system agnostic, meaning that we can place our automation system on – also on all our competitors, so it's a very exciting acquisitions. Also during the quarter, we are happy that Standard & Poor have recognized our financial performance, and they have upgraded us to A- from previous BBB+. So a look at the market development. This is a little bit exciting stuff as we see ourselves as being a pretty good indicator of the demand overall in the industry. If we look at the pattern for this quarter, we can see it's pretty much in line with what we saw during Q4. We saw that North America, very strong, especially U.S.; Europe, pretty flat; and Asia, somewhat weaker, especially China which is lower, but somewhat compensated by a very strong India, Japan and Indonesia. If we're looking at the segments that we operate in, we see also a similar pattern as the previous quarter. All segments are flat or up compared to last year except the automotive industry, and that especially for the Chinese market but also in Europe, especially Germany on that part. If we look quarter by quarter, we see the demand from the different segment is pretty flat. So on the order side, I mentioned we were up 6% and we – our revenues were 3%. That mean, as I said, we are building order stock. We have a book-to-bill ratio of 111%, which of course is positive for rest of the year when these deliveries will be done. On the EBIT level, we reached SEK 4.567 million. That is equivalent to 18.3% EBIT margin and that’s 7% up to last year. In these numbers, there are some positives, but there also some negatives. So if you look at the positives that is, of course, exchange rates that were very favorable during the quarter. On the negative side, we have some lower performance from our so-called Wolfram powder business. This is the division we call PBT, and they are actually supplying the Wolfram powder to our tooling divisions but also externally. Too much inventory in powder have made that this division have really pulled down the production level during the quarter, and there had a negative impact on the SMS totally. If you exclude that and also exclude the FX impact, I think the underlying EBIT margin, about 18.4%, and that's very much in line with our expectations from our EBIT margin. So looking in a little bit to each of our businesses. So starting up with SMS. We see very strong order intake. It's actually the highest – second highest we have had in the company. I think the previous one on this level was back in 2012. So it continues on a good level. You see a change – says a change here of minus 1, but if you exclude the powder business, which goes external, it's actually plus 1 on the price/volume side, so with other words, pretty much flat. And also, the profit level is at 24.9%, then being impacted actually as much as 150 bps this quarter by the lower profit in the powder business. This will gradually change during the rest of the year. We will see some effects during Q2, but during Q3, the volumes should be up and running at the levels that they should be and those effects would be negative – the effects would not be negative. During the quarter, we made an acquisition of Wetmore, which is round tools specialized for the aerospace industry, a very exciting acquisitions. Also during the quarter, we are also unfortunately saw that our – Klas Forsstrom, our President for the business area, decided to leave us, and he will be a CEO in an external company. We have just started the process to replace Klas. The second business area, and that is the Mining and Rock Technology. Here, we see strong demand in the market and we see growth of 9%. That's actually 11% on equipment and 8% on the spare parts business and 11% on the Rock Tools, so good level. And this is of course driven by mineral prices, strong copper, strong gold, but we also see other minerals developing in a positive way. We see EBIT margin that improved from 15% to 17% here. There are some acquisition costs, around SEK 30 million there, so you would be on, if you took that out, about 17.3%. You also know that we are in the process of divesting parts of the Varel business, the one that is actually targeting the oil and gas industry. If you take out Varel out of that, it's actually 18.3% profit margin. So I think we are on a pretty good level there for the EBIT margin. Here I mentioned before two exciting acquisitions, both the Artisan and now also the Newtrax. Both of them is actually spot-on when it comes to electrification and automation, which are the main focus for us going forward. We're also happy that we have announced during the quarter that Henrik Ager is our new business area President. He comes previous from our Rock Tools business. He has a long experience from the mining industry. So we welcome him into the Sandvik management team. So moving over to SMT or Material Technology, also here, we see great development, and of course, sticking out here is the great orders of SEK 1 billion from the oil and gas industry. And as you all know, a lot of this goes to the umbilical business, which is actually the key for the performance of the business area, so strong orders, which will be delivered out during the coming year, very good. But we also see good improvements when it comes to the profitability. And the underlying margin reached 10.4%, which makes me of course very happy. And we are very much in line with the targets of reaching 10% EBIT margin for the full year. So a lot of credit to the three businesses and to Goran and his management team for moving in this direction. So we feel pretty comfortable with the development here. So Tomas, tell us a little bit what's happening on the financial side.
Tomas Eliasson: Yeah, thank you, Bjorn. Yes, what's happening with the numbers. Let's start with the overview as usual. And today, we will go a little bit deeper into three areas. We will look at the leverage, of course, and not the least, on SMS leverage. We will look at the finance net, and we will talk a little bit about the tax rate. But starting with the top line. Just to recap, you'll see, in the upper right-hand corner, you'll see the 7% in orders and the 3% in revenues. Currency was plus 6% for both orders and revenues, and structure was minus 2% for orders and minus 3% for revenues. Moving into the income statement, 7% up on earnings, operating earnings, and 30 bps up on the EBIT margin from 18% to 18.3%, and we'll look at the bridge in a second. The finance net looks a bit strange, close to minus SEK 400 million, but we will dive a little bit into that. As Bjorn mentioned here, we have some temporary revaluation of hedges in it. Underlying, everything is exactly according to our guidance of SEK 1 billion for the full year. Tax rate, 25% in the quarter. And as you might recall, we lowered the tax rate guidance three months ago down to 25% to 27%. And in the first quarter, we came in at 25% exactly, so at the very low end or bottom end of the range that we guide for. And what is happening here is that we, as we move into 2019, we do really well in Chechnya. We do good in Finland, which is a big mining production area for us. We do very good in Sweden. We do very good in the United States, driven by the strong U.S. economy. Four big markets for Sandvik, and all these markets have corporate tax rates of 19% to 21%, which is far below the average for the group. So that mix effect is driving the tax rate down. On the balance sheet side, working capital still below 25%, I'll talk a bit more about that in a minute. Cash flow recovered nicely SEK 3.4 billion; returns, above 20%; and earnings per share, up SEK 2.50. I should mention also when it comes to earnings per share, that if you take away that temporary revaluation of hedges, the increase of earnings per share would have been 10% instead of 6%. So let's jump then into the bridge. And this is the bridge as it is reported, from 18% to 18.3%. We can start with currency, of course, SEK 1.3 billion on the top line, very much driven by the U.S. dollar. Of course, that's like 80%, 90% of the currency affect, SEK 564 million on the EBIT line, that's an accretion of 130 bps. Structure, minus SEK 612 million on the top line, minus SEK 324 million on the EBIT line, this is a mix of both divestments and of acquisitions. And the reason why the number is – can be seen as quite big here on the – I mean, the negative number could be quite big is that we still have Hyperion in the comparisons compared with Q1 2018. And you must remember that Hyperion was so close to SEK 4 billion business, so it is big, but it will gradually move out after 2019. Okay. Now let's go to the organic part, to the price, volume and productivity. SEK 614 million on the top line and SEK 56 million on the EBIT line, that's 9%, minus 0.2% in margin dilution. However, we have to go one step further down into the bridge and understand what is happening. If you look at SMRT, the leverage is 36%, very good, higher than normal. If you look at SMT, it's 67%, fantastic development, on their way up to 10% EBIT margin for the full year 2019. SMS looks a bit strange, of course. Now SMS, if you look at the brands within SMS, the premium brands, Coromant, Seco, Walter, Dormer, they're all doing fine and defending the margins on a very high level and some of them actually even increasing the margin. The drag is the Wolfram powder business, which was very much sort of on the way up a year ago and now heavily reducing inventories and having a huge impact on the EBIT margin. So if you take out the Wolfram powder business, you get this bridge. Now we have four columns instead: so we have the organic part excluding the tungsten or Wolfram business, you have the Wolfram business by itself, and then currency and then structure. Now you can see that the whole group has a leverage of 30% instead of 9%, and if you just strip SMS – strip out the Wolfram business from SMS, the leverage in SMS is 15%. Is 15% good or not? Well, if you defend the margin on a very high level with basically a flattish top line, then the leverage is 0. Just mathematically, that's what it is. 15% is not bad given the very flattish top line in the business. So this is what it is. Now let's move over to the finance net then, which I mentioned here in the overview. We normally don't go into the finance net, but this is what it looks like Q1-over-Q1. And we have six items in the finance net. The interest net is very stable, as you can see, SEK 166 million, SEK 168 million for the quarter. This would be like SEK 650 million or something for the full year and this will not change. Pension charges – or the interest part of pension charges, very stable as well. Bank charges, nothing much happening there. And others is very insignificant. And then we have a new item, which is the IFRS 16 capitalized leases. It comes with a SEK 25 million, SEK 26 million impact on the finance net. That would be SEK 100 million for the full year. On the bottom line, you have FX and other asset classes. We abandoned hedge accounting a couple of years ago, which means that the hedges which you have in the finance net for orders, for commodities, for electricity contracts which are not yet in the balance sheet will be revalued temporarily in the finance net. So everything which happens in this line gets moved eventually over to the EBIT to meet the real balance sheet items when they appear in the balance sheet. So this is a temporary thing. So the SEK 131 million will disappear gradually during the rest of 2019, a little bit would slip over to 2020. Yes, the electrical part of this revaluation is SEK 110 million and the rest is commodities and commercial contracts. So with that in mind, we are keeping the guidance for the full year to SEK 1 billion, just as we said three months ago. So that will not change. What the revaluations would be in Q3, and in Q4, et cetera, we don't know, of course we don't know today. But as it is today, as it does today with today's electricity prices, with today's exchange rates, et cetera, it is SEK 1 billion for the full year. And then also, we would like to give you a heads up then. We have a lot of cash in the balance sheet as you might have seen, excess cash. We have a big gross debt. So we are now actively entering into a process of prematurely repaying a chunk of the long-term debt. I'm of course not talking about public bonds now. I'm talking about bilaterals, which we have quite a bit of in Europe and in the United States. And this, of course, will come with an interest difference sort of compensation to our borrowers. However, this would pay itself back in the third and the fourth quarter. So for the full year, that would be no impact in the finance net. But there can be a little bit of pickup in the second quarter, but that's just temporarily, just for you to know. Okay. Let's leave the income statement then and move over to the balance sheet. Working capital, below 25%. We had, in the first quarter, we had kind of a little bit of a weak delivery situation in January and February. We had a huge invoicing in March, which means that we have a big pile of accounts receivables in the first quarter, which, of course, will be paid during the second quarter. Inventory is pretty okay, actually. So it's good. You can see that on the right-hand side, SMS is doing fine. SMRT had a huge invoicing month in March. That's why the relative number is picking up a bit. So under control. Cash flow, recovering year-over-year. You can see it's SEK 3.4 million compared to SEK 2.1 million. That's 60% up driven by increased earnings but also less working capital buildup. And then my favorite slide, the financial net debt. Three parts these days: you have the grayish area, that's the financial net debt, which is really the important one; the blue one is the pension debt; and the new one is the debt side of the capitalized leases. The financial net debt has gone from more than SEK 30 billion down to SEK 4.4 billion at the end of the quarter, and it's quickly melting away into outer space and will disappear during the year unless something happens. The blue one, the pension debt, will swim around SEK 5 billion; and the capitalized leases will probably stay around SEK 3.3 billion, SEK 3.4 billion for the rest of the year. Gearing, 0.21. Take away the capitalized leases, the gearing is 0.16 compared to 0.20 as we started the year. Of course, as Bjorn mentioned here, we are very happy to get – have a credit rating upgrade from BBB+ to A- with a stable outlook as a recognition of what we have done with the balance sheet. Of course, we have sold assets to get – to reduce the debt situation, but the majority of the journey from SEK 30-plus billion financial net debt down to where we are today is operational. This is operational cash flow from the business area. It's more than SEK 25 billion. So let's finish off with the guidance. So if we look at the first quarter of 2019, underlying currency, SEK 533 million. We guided SEK 500 million, so very much in line. Metal prices we guided SEK 150 million, ended up with SEK 85 million – minus SEK 85 million. And what happened here is that the nickel prices started to go up at the end of the quarter. You can see the effect of that in the guidance for the second quarter where we say that the metal prices will be plus SEK 100 million, and the underlying currency, plus SEK 300 million. And of course, as usual, it's the U.S. dollar that is driving this. CapEx now for the full year. We are not changing the full year cash CapEx guidance that we have. That's SEK 4 billion. However, with IFRS 16, which is now sort of fully up and running in the income statement and the balance sheet, you get accounting effects. So we will have something like close to SEK 400 million added to the CapEx line. But that's not cash CapEx, it's just an accounting treatment of our operating leases. So SEK 4 billion in cash CapEx is still there, but SEK 400 million is for IFRS 16. Then net finance. As I mentioned, net financial items, we keep the guidance at SEK 1 billion. And the underlying tax rate, well, 25.0%, it's a good number, but we keep the guidance for the time being. So with that, I hand back to you, Bjorn, for summary and conclusions.
Bjorn Rosengren: Thank you, Tomas. So if I summarize it, I think the demand continues on a strong level in line with what we saw during Q4. We normally mention how did the quarter four start, it starts also very much in line with what we have seen during the previous quarters, so very good. For us, it's important, and I think we're trying to communicate that, all our 30 businesses are working hard to making sure that our costs are under control, but also making sure that our inventories are at the right level. So strong focus on that operationally, and of course, to drive efficiency and productivity, which is essential for all the businesses. We are in a growth mode. We have presented numbers of exciting acquisitions also during this year, and there are a lot more exciting to come. I think that's a good way to end my presentation, and maybe we should hand over to you, Ann-Sofie, and maybe we go into Q&As. Thank you.
Ann-Sofie Nordh: Yes, let’s do that. Thank you. And we’ll start with questions from the conference call please. Operator can you please let the first question through?
Operator: Yes thank you. [Operator Instructions] Our first question comes from the line of Klas Bergelind from Citi. Please go ahead.
Klas Bergelind: Yes hi Bjorn and Tomas it’s Klas from Citi. A couple of questions from me. First, on the drag on the margin from powder. You said that this will improve as the year progresses obviously, but could you be a bit more specific, please? Already gone completely from the second quarter or to what extent will it be a gradual through the year? It's pretty meaningful impact there. So I will start there, please.
Bjorn Rosengren: I think it will have impact in Q2, but it should be totally out during Q3. That's the signals we get from the division. So the volume, they should be up and running in their normal levels in Q3.
Klas Bergelind: Okay. Thank you. And then a question for you, Tomas, on the margin in Machining Solutions. And here, I'm leaving what happened this quarter. I'm talking about a potential stress test as we're approaching the Capital Markets Day. Am I right to assume that the supply chain savings cumulative in Machining Solutions since you started those efforts are around SEK 600 million to SEK 700 million, i.e., savings that are structural? And then on the underproduction, if we say that volumes fall maybe 10%, what kind of drop through and above the normal drop-through should we assume from underproduction? Is it perhaps 20%, 30%? I just want to see if our assumptions make sense when we stress test the margin there.
Bjorn Rosengren: SEK 600 million, SEK 700 million yes that’s correct, SEK 600 million, SEK 700 million from the structural changes within SMS, the big supply chain, the footprint program. So that is correct. Then when it comes to negative drop through, I mean, our ambition is to be able to defend the margin if the volume is flattish. And of course, if the volume goes down more, of course, we will have a higher trough than we had before. Bjorn? I mean that's the strategy we have.
Bjorn Rosengren: I think it's pretty clear and I think this is very much a part of our contingency plans. And I think we'll give you a little bit of a guidance during the Capital Market Day on that side when we come out with our new financial targets. But I can assure you that each of the divisions have made their contingency plans, which means what kind of costs and what kind of actions do you need to take. We are also continuously working, as you know, by closing more factories and moving our production into our larger, more efficient plants. This work will continue the drive. So we do believe that we have a pretty good opportunity to mitigate lower volumes. We have no – we cannot verify in detail, but I promise you, we'll dig a little bit into that when bit into that when you – on the Capital Market Day, and we'll give you some indications where we believe we can be.
Klas Bergelind: Sure it sounds good. My very final is on mining, a strong bounce-back when we look at key commodities. Have you sensed any changes already, that some projects are now going ahead at maybe a faster pace? And then coming back to replacement, I know I ask it every quarter, but have we seen any further pickup here? I mean replacement is always there, but whether you've seen any acceleration in replacement volumes in this quarter.
Bjorn Rosengren: I've actually spent quite a lot of time out during the last quarter also, being in South America, being in Australia and visited customers all around. And I think the mood is very good. Also I'll say that I talked to many of these mining customers, especially when we look in the copper side, I think they are pretty – very much optimistic in the long-term growth, where we've seen companies like CODELCO investing huge amount of money both in El Teniente as well as in Chuquicamata; Chuquicamata to go underground and in El Teniente to go to the next level. And we're talking huge money investment. And I'm really happy to say that on the Chuquicamata side, for the underground, they will go fully automation. And during this quarter, we received a large order for automation and equipment for that going underground. So I feel that the mood in the mining industry is definitely very good and that's very much all of it. And with the mineral prices we have now, I think the majority of all the mines are actually making good money on these levels. It's very – I mean when we look at a greenfield, there – I mean there is not too many of those. They're mostly of the – it's a brownfield, where you are actually extending the lifetimes of many existing mines.
Klas Bergelind: Thank you.
Ann-Sofie Nordh: Thank you. Operator, can you put through the next question, please.
Operator: And the next question comes from the line of Markus Almerud from Kepler Cheuvreux. Please go ahead.
Markus Almerud: Hi, Markus Almerud from Kepler Cheuvreux. Can I ask a little bit about China and on SMS? So on the demand in China, I mean, we know that automotive is horrible. But do you see any signs of stabilization at all recently? And what is the mood in general engineering on the ground? You say that you see a slight decrease. And then if you could just help us, how much of the China business in SMS is automotive. That's my first question, please.
Bjorn Rosengren: First, I'll say that the China’s idea is pretty much in line with what we saw during Q4. So it is – we don't see any further deterioration of that market. So that is moving on. Then of course, we have other markets and maybe a little bit in the general engineering but not that much than what we are seeing. So that's what we are. The percentage is about 30%, the automotive of SMS in China. So that's pretty much in line what you see with the rest of the business. So China is what it is. I think when we look at Asia, the positive things that I felt from this part is that we saw Japan going very strongly for us, but also India and Indonesia was very strong to compensate somewhat the weaker Chinese market. But it is what it is and I think we have to live with this weaker automotive market for some time. That's our view from that. Other segments seem to be pretty good and the mood in China is not bad.
Markus Almerud: Okay. Okay. And then if I can just ask on SMT. I mean it's – I know it's a difficult question and – but you're now 10%, and this is the target. And this is just the quarter so it's not the full year, but you're confident that you will reach the full year. And then there's been lots of discussions over the years about the long-term plans for SMS, SMT, et cetera. What do you need to see before you make an actual decision? Do we need to see the full year of the business part?
Bjorn Rosengren: I think I've been very – tried to be very specific on this. I promised the market to give information this year. So this year, I will inform in what direction we'll go with SMT. And I think I feel very comfortable with the SMT performance. I'm very happy with management. I'm very happy with the actions that they're taking. But I'm also happy with the demand that we are seeing in the market. So they are showing a good stability and we see an improvement in their profitability, and that's where you like to see a little bit of growth. So overall, that is part. But I have promised that the during this year, I will give you information in what direction we will go and that will be a final information.
Markus Almerud: Okay. And on SMT demand, have you seen any – I mean, you have got large orders, so SEK 1 billion orders of which most were umbilical. But we're also seeing signs of a pickup in the deep-sea drilling market. Have you seen a general increase in the number of discussions that you're having on that end? Or it's too early?
Bjorn Rosengren: Yes. I think the oil and gas – no, I think is oil and gas is very strong. But it's not only umbilical. It is OCTG pipes also. That factory is now going full speed. But there is a lot of project within. Now, of course, our production is full for the year, and we are probably all the way in – a quarter into year 2020. So we haven't had these big orders on hand in many, many years so – in the parts, so being a little bit pressured there also because activity is high in the market. But they are working hard and Chomutov is a very profitable and good factory for us.
Markus Almerud: Okay, thank you very much.
Ann-Sofie Nordh: Thank you, Markus. And operator, we’ll continue with the conference call please.
Operator: And the next question comes from the line of Graham Phillips from Jefferies. Please go ahead.
Graham Phillips: Yes, thanks for taking my questions. First question is on Machining Solutions. Could you contrast a little bit your comment around defending the margins? And I'm particularly interested in here to get good contrast for the inserts, round tools and the rest of the business, say, holders and systems; and particularly what's happening with your move into powder there that's having impact in terms of margins.
Bjorn Rosengren: Yes. Starting up with the powder. Powder business is not – this is not something new. I mean we've been recycling all the inserts. 50% of all our powder is actually coming from that. We have our own mine, as you know, that are actually producing our Wolfram powder, and we supply our operations from that. But it's also a pretty good export business of that so many of our competitors are also being supplied from us. So we keep that as a division. There are also some parts from the old Hyperion business. They made the blanks for our business. That's also a part of that business. So it is part of SMS and it is not a bad animal or anything like that. The only reason why we tried to explain a little bit about this powder business today, to give you an understanding how the businesses is. And for me, when I follow this, I have my 30 divisions or business units that I care about. Sandvik is only a result of all this. So I look at each of them and see what they do. And what makes me happy is, of course, to see our four tooling divisions perform extremely well, even in these flat volumes. That is important. But you also know that we spent a year – I mean, we started these contingency plans a year ago, looking into what kind of actions do we need to do. And we know, when we look into SMS and this tool business going down, I mean, 10% is a huge drop in these parts. And that is what they need to plan and they add up their costs and what kind of actions they need to do. So all of them are working with this. We're talking about insert but you also mentioned round tools. When you look at the round tool business, of course, there's always been a fear, I think, among many investors, now you're moving more into round tools, which is the fastest-growing part of our business. But the good thing with this is that we actually managed to keep the good – the same margins when we also go into this round tool business. So it doesn't vary much between these two businesses. So that's good. But it would be very difficult to go into any details or give you any drop through in this part. But I can assure you that the plans and what we are following them up are pretty aggressive when it comes to adjusting costs in relation to demand and to protect the margins. So that's a little bit how we see it and how we work within the different divisions. I know maybe it doesn't answer fully your question, but at the same time, that's much as I can say at the moment.
Graham Phillips: Okay. And in terms of M&A, obviously you touched on the couple – the acquisitions you've made. I mean is there more to do in any of the particular areas there, inserts, round tools, digital, that we should be thinking, if that's still got some inorganic opportunities?
Bjorn Rosengren: Yes. I mean this is really the prime target for our acquisitions. It is rounds. So you have OSK, you have Wetmore, and you have much more to come. So this is an area where we can strengthen ourselves, where we have less market share than we do on the inserts side. So that's – there will be a lot of exciting stuff there. And of course, the opportunity goes – when the market is softening a little bit, the opportunities arise a little bit better for us. So with a strong balance sheet and with this focus, at least I am pretty excited about that development.
Graham Phillips: Okay. And just finally on Mining and Rock. I see your comments about the stationary equipments, so machining and crushing – sorry, crushing and screening seeing a better market. Could you contrast just how big that business is again and compare it to the mobile machinery where, clearly, you have been much more profitable and had better prospects in the past?
Bjorn Rosengren: Yes. I mean, when we're looking at the division for crushing, I don't know if we have gone into this, the – how big the size and so on, but it actually consists out of four different business units. One is the stationary, which is the most stable and the most profitable part of the business – or maybe not the most profitable because hydraulic attachments is actually the most profitable part of that business. It's amazing. These are the hammer business that we are making in Finland. So stationary, it is the hydraulic attachment. And then we have the mobile crushers, which I talk about a lot and where I get a little bit warm in my heart when we talk about because they have done a great job to improve their profitability, about 10% on that side. And then we have the SHANBAO. That's that Chinese middle-market business, which is also going in a fantastic development. So the size of this business is of course significantly less than you have seen on our underground mining equipment when I talk about drilling and loading and haul and the surface part of that. It's still quite limited. But I mean it's sized somewhere between SEK 5 billion and SEK 10 billion, if I give you that indication.
Graham Phillips: Okay. And there's still upside in terms of that business margins and revenues, revenue-wise?
Bjorn Rosengren: I mean, we've had a tremendous development in this business during the last two years. And I – and we have a very strong management in place when it comes to crushing and screening. They launched a lot of new products. They managed to get efficiency out of the operation. And maybe most of all, they managed to catch the aftermarket, which is quite huge for the crushing and screening, and that's actually which drives opportunity for new orders. And so I think the aftermarket development has been one of the main reasons for the huge improvement in profitability from this business. So I mean they are not a burden for us anymore. So it's a really good contributor.
Graham Phillips: Okay, thanks Bjorn.
Ann-Sofie Nordh: Operator, do we have any additional questions from the conference call?
Operator: We have one question from the line of Andrew Wilson from J.P. Morgan. Please go ahead.
Andrew Wilson: Hi, good afternoon and good morning, everyone. It's mainly a quick follow-up actually on the M&A plans I want to touch about. It seems as if the policy is being very much around bolt-ons, and you mentioned the sort of five businesses over the last year. Can you just talk about sort of how you think about potentially larger deals? And should we just expect, I guess, what's been a relatively steady stream of bolt-ons across obviously the two larger businesses?
Bjorn Rosengren: Yes. I think it’s a good question. The acquisitions – the way we run the M&A part of Sandvik is that our 30 operating entities, they strive all the time to be number one and number two within their businesses. They know their competitors. They know the companies that are operating in the market. And they are the one that are initiating all these acquisitions. And normally, these are small to medium-sized part. Looking for maybe a little bit larger opportunities, yes, if they arise, if the valuation is correct and the part. We know of course that we are on very high level and the expectations today for these big companies are high. But when, if and so the market softens down and people are not performing as good and we have a strong balance sheet, we will definitely be open for a little bit bigger sizes that could add good value to Sandvik. But we are of course very careful when it comes to the valuations and what we pay for this because we have no interest to jeopardize anything when it comes to the good performance and the financial performance of the group also moving forward. We’ll talk a little bit about this also when we meet at the Capital Market Day.
Tomas Eliasson: As we have said many times, we have no intention of betting the form.
Bjorn Rosengren: That’s a good explanation, yes. But for me, I mean, to be honest, I mean, the one – I mean my experience from previous part, these are the small and medium-size, where the businesses that are stable and profitable, they take them on. They integrate them. They become part of their businesses. And for these small divisions that we have all around, when they’re making acquisitions like this, it’s – they have to make it good and they have to drive it in a good way so the total business continues to develop. And the engagement that you see in all these operating entities is absolutely magnificent. I recently went to U.S. and visit this Artisan, these loaders and trucks. And I’m very keen about electrification within the mining industry because I think it makes very, very good sense. And I was very much proud that we should make this investment even if it was a little bit expensive. But when I came and met the people and saw the equipment that they are doing, this is actually the third generation, and the way they both design their loaders and trucks and this electrification, I mean, this is really the technology of the future. So – and that’s fun. That makes me really excited about these kinds of acquisitions.
Andrew Wilson: Thank you.
Ann-Sofie Nordh: And we’ll continue with the question, please.
Operator: And the next question comes from the line of Andreas Koski from Nordea. Please go ahead.
Andreas Koski: Yes, thank you. Two questions on Sandvik Machining Solutions, please. Firstly, on the demand situation. I understand that it has been more or less in line with the first quarter and the beginning of the second quarter here. But could you talk about North America specifically? Because I think we have seen sequential growth both in Q4 and now in Q1 as well. Is that what you are still seeing going into the second quarter? Or is that sequential improvement fading and it’s more flattish also in North America?
Bjorn Rosengren: No. I think what we – when we give you a small flavor of how the first 20 days in the quarter have started, that’s just to give you – if there are any changes in any of the direction for the total business. And that’s what I’m saying, is that it continues on these really good numbers that we have seen in part. But I don’t really want to break it down into different regions. And so we’ll talk about that when we meet in July. After the Q, I will give you a little bit more insight on that. But I can calm you down a little bit that it looks pretty much in line there in – as it was in the first quarter. So I feel confident.
Andreas Koski: Okay, thank you. And the second one is on your inventories in Sandvik Machining Solutions. I’m sorry if I missed it, I came on a bit late. But what did you do with your inventories in this quarter? And what do you plan to do in the second quarter in Sandvik Machining Solutions?
Bjorn Rosengren: Yes. If you look at Machining Solutions, we are pretty much in line with the expectations. There’s a minor increase in inventory. You see some increase in receivables, which in the part. But I mean, if you look at the percentage, we are 21.4% or something like that. So it’s pretty much in line. They managed to keep that under in a good way. What Tomas said during the conference was that in – especially in SMRT, we saw a very big invoicing in March. It was a little bit slower – of the invoicing, so not the orders but the invoicing in January and February, and we had a huge invoicing now in March. And of course, that doesn’t turn into cash yet because it ends up as receivables. And that’s what it looks like. But we feel very comfortable about that. And I promise you, if there is anything we feel uncomfortable about the inventory, I can assure you that’s one of my most important because this year, we have to exceed the cash flow targets from last – and I feel very comfortable about that. So where we are today, cash flow is 60% up compared to last year, still, of course, trailing what we are going to do. But that always does during the first quarter because you have a huge Q4. So you have a lot of deliveries out there. But I feel very comfortable. SMS is in line. On the SMT and SMRT, SMRT is – especially with the inventory they have, these are units that are on the way out. And you’ve seen the huge order intake. It’s 11% up for equipment. So there is a lot to be delivered out during the rest of the year. So that’s fine.
Andreas Koski: I just wanted to understand what kind of impact the inventory or the productivity – production levels in Sandvik Machining Solutions could have had on the margin and what we should expect for the second quarter. Because normally, I think you build inventory in the second quarter ahead of the summer.
Bjorn Rosengren: That’s correct.
Andreas Koski: If I have correct numbers, you built inventories of around SEK 300 million in Q2 last year. And is that something you expect to repeat this year? Or will you try to keep, yes, production in line with demand in the second quarter?
Bjorn Rosengren: We will be working with inventory levels and keep them on a low – much lower level than we saw during last year. So we will be very, very hard on doing that. We do not want to repeat, as you know, Q2 and Q3 during last year, when we built up this inventory that we had to reduce during Q4. So that will not happen. We’ll be very, very hard on making sure that we are producing in line with the demand in the market. And the good thing with this kind of business is that we actually get the numbers – the demand numbers every day, every minute. So Klas sometimes comes in with his computer and says, look at this. This is exactly the orders going out from our distribution centers around the world to the customers. So we have a good sight of that. But we didn’t see any effect in Q1, and we will make sure that there will be limited affects in Q2. But there are minor buildup, of course, because there will be some closing of factories during July there. So a little bit there will be, but we will make sure that those big numbers we saw last year will not occur.
Tomas Eliasson: We, as Bjorn mentioned here, we had inventory issues last year and we were overstocked, and then we had some issues in all three business areas. But we’re through on that now. It’s all sorted out. Ended the year in a very stable situation, and we continue to run that back down.
Bjorn Rosengren: And I can assure you that our business presidents are – don’t want to go through that – what we did last quarter. And so…
Andreas Koski: But you don’t have any business president there.
Bjorn Rosengren: We have for divisions. The business area is always strategic. Our guys out in the 30 divisions, they are still there, luckily.
Ann-Sofie Nordh: Thank you. We have one question coming through from online, and it touches on the mobile crushers again. And if you compare the market situation now and maybe during the second half of 2018 compared to the first half of 2018, what would be your comment to that?
Bjorn Rosengren: I think the crushers have had a strong development lately. Last year, we saw a little bit weaker the – if you look at the different businesses, last year, we had a little bit weaker orders on the crushing part, while lately that has picked up. So we have quite a good growth on the crushing side at the moment.
Ann-Sofie Nordh: Thank you. And do we have one final question to put through from the conference call, please?
Operator: Yes. The final question comes from the line of Lars Brorson from Barclays. Please go ahead.
Lars Brorson: Thanks. Hi, Bjorn and Tomas. Just two quick ones for me. Firstly on SMRT, the huge invoicing in March but a slow start to the year – exactly were the bottlenecks earlier in the year? And how should we think about deliveries in Q2 and beyond for SMRT?
Bjorn Rosengren: I mean the thing was during – I mean Q1 is always the same and you see that. We have a lot of deliveries out during Q4, which means that getting started after Christmas takes a little bit time. You feel the pipe fill up and then before the things start popping out. And we saw – this is every year, so we are not surprised. So the invoicing – the orders were good in the beginning, but – what came out. And of course, Lars was pushing a lot to make sure that everything comes out. March, we’ll see – during Q2 is a much more even – I mean production is running in full speed and the deliveries are there and the customers. So Q2 is more a normal demand where the deliveries are more even than you see during Q1. Q1 is always worse.
Lars Brorson: So timing issues but no supply chain or production issues as far as SMRT is concerned?
Bjorn Rosengren: Yes, okay, fine. Yes.
Lars Brorson: And secondly, if I could briefly ask to SMS. And I know it’s quite rare to talk about mix geographically there, but you are seeing some quite divergent trends in China versus the U.S. And I know historically, there’s some meaningful margin differences between those two regions. Could you help me a little bit with the impact from regional mix on margins in SMS in the quarter?
Bjorn Rosengren: I mean, I think China is a very profitable market for us. It’s probably one of the most profitable regions that we have when we sell in SMS. And U.S. is a little bit less on that side, and that’s more because it’s a distributor market while China is very much a direct selling market. So there are some parts which they always have to fight with. So normally, margins are little bit higher in China than the U.S. I gave you this now. I’m not sure that I was allowed to say that, but don’t tell anyone.
Lars Brorson: I’ll try not to. Thanks guys. See you in a month time.
Bjorn Rosengren: Thank you.
Ann-Sofie Nordh: And then as we have a couple of minutes left, this will be the final question. It comes through online from Danske Bank, and it touches on our own capacity in terms of production. And if demand picks up from where it is now, will we have issues with coping? Or do we – does that mean we’ll have to make huge investments?
Bjorn Rosengren: The good thing with the mining part, and that we have introduced in the last years, still about 40% of all our trucks, loaders and drill rigs are being produced by satellite. And that’s the trick. We don’t expand our production facilities. If the demand goes down, yes, we bring it home, make sure that our factories running without under absorption. This is part of the agility work that we are really enforcing into the SMRT. So we can actually expand the business a lot without adding capacity and that’s the key to the trick.
Tomas Eliasson: And we haven’t really made any capacity investments at all over the last three years, and we have no intention of doing it even if demand picks up.
Bjorn Rosengren: Yes. So outsourcing is the name of the game.
Ann-Sofie Nordh: Thank you very much. And with that, we close this session. And thank you for calling in, and we’ll see you all again in about a quarter’s time. And until then we will wish you a happy Easter. Thank you.
Bjorn Rosengren: Yes, happy Easter. Take care.